Operator: Good day, ladies and gentlemen. Welcome to the TransCanada Corporation 2014 Fourth Quarter Results Conference Call. I would like to turn the meeting over to Mr. David Moneta, Vice President of Investor Relations. Please go ahead, sir.
David Moneta: Thanks very much and good morning everyone. I’d like to welcome you to TransCanada’s 2014 fourth quarter conference call. With me today are Russ Girling, President and Chief Executive Officer; Don Marchand, Executive Vice President and Chief Financial Officer; Alex Pourbaix, Executive Vice President and President of Development; Karl Johannson, President of our Natural Gas Pipelines business; Paul Miller, President of Liquids Pipelines; Bill Taylor, President, Energy and Glenn Menuz, Vice President & Controller. Russ and Don will begin today with some opening comments on our financial results and certain other Company developments. Please note that a slide presentation will accompany their remarks. A copy of the presentation is available on our Web site at transcanada.com. It can be found in the Investors section under the heading Events & Presentations. Following their prepared remarks, we will turn the call over to the conference coordinator for your questions. During the question-and-answer period, we will take questions from the investment community first, followed by the media. In order to provide everyone with an equal opportunity to participate, we ask that you limit yourself to two questions. If you have additional questions, please reenter the queue. Also, we ask that you focus your questions on our industry, our corporate strategy, recent developments and key elements of our financial performance. If you have detailed questions relating to some of our smaller operations or your detailed financial models, Lee and I would be pleased to discuss them with you following the call. Before Russ begins, I’d like to remind you that our remarks today will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please see the reports filed by TransCanada with Canadian Securities Regulators and with the U.S. Securities Exchange Commission. And finally, I would also like to point out that during this presentation, we will refer to measures such as comparable earnings, comparable earnings per share, earnings before interest, taxes, depreciation and amortization or EBITDA, and comparable amortization as well as funds generated from operations. These and certain other comparable measures do not have any standardized meaning under GAAP and are therefore considered to be non-GAAP measures. As a result, they may not be comparable to similar measures presented by other entities. They are measures are provided to give you some additional information on TransCanada’s operating performance, liquidity, and our ability to generate funds to finance our operations. With that, I’ll turn the call over to Russ.
Russ Girling: Thank you, David and good afternoon everyone and thank you very much for joining us late on this Friday afternoon. 2014 was a year of many accomplishments for us here at TransCanada. We resolved a number of outstanding headwinds in our core businesses. We successfully advanced several new pipeline and power generation projects. We captured more high quality growth opportunities directly connected to our core assets. We continue to improve on both safety and integrity performance placing in the top quartile to top decile of our industry and we had strong financial performance from all three of our core businesses. Comparable earnings increased 8% and funds generated from operations climbed 7% during the year. Net income attributable to common shares was $1.7 billion or $2.46 a share. Comparable earnings were $1.7 billion or 2.42 a share and as I said funds generated from operations were up 7% to $4.3 billion. Our strong financial performance combined with solid new growth opportunities and an industry leading safety performance record is strong evidence that our strategy is working. Don will provide some more financial details on the quarter a bit later, but thought I would go through some of the highlights for 2014 with you at this time. Specifically during 2014 we continue to focus on maximizing the value of our $59 billion asset portfolio. This included successfully repositioning two key long-haul pipeline systems that have been under pressure from changing market dynamics in the recent years and specifically the Canadian Mainline and the ANR pipeline systems. In addition, $3.8 billion of new assets began operating in 2014. Those assets include the Southern Lake of the Keystone Pipeline or what we call the Gulf Coast Extension, $300 million in new facilities on our NGTL system, the $600 million Tamazunchale pipeline extension in Mexico, and four additional solar generation facilities in Ontario. Continued solid performance from our asset portfolio, new operating assets in 2014 combined with $12 billion with small to medium sized projects expected to be in service by the end of 2017, provided that confidence for our Board of Directors to declare an 8% or $0.16 per share increase in the common dividend from a $1.92 to $2.08 per share on an annualized basis. We recognize the value shareholders place on a stable and growing dividend. Our objectives continue to be focused on growing the dividend in conjunction with sustainable increases in cash flow and earnings. This is the 15th consecutive year the Board has raised the common dividend of TransCanada. Few comments on our capital program, our portfolio of commercially secured projects now totals $46 billion, it is made up of $12 billion of small to medium sized projects and $34 billion in large scale longer term projects. The small to medium size initiatives are expected to drive earnings and cash flow growth as they come on stream over the next three years. And the large scale projects are expected to come on stream later in the decade. During 2014 we advanced work on all of these projects, during the last quarter we filed our application for Energy East the most complex and extensive application in our Company's history. Since that time we've continued to engage with many stakeholders including landowners, municipalities, native communities and governments to better understand the concerns and incorporate those concerns into our planning for this project. To-date the feedback we received has been very supportive, the many stakeholders we have engaged with indicated they understand both the energy security and economic benefits of this massive project through their communities and through Canada, but they've also been quite clear with us that it has to be done right and that is exactly what we intend to do. We're committed to taking the time necessary to work our way through these issues and define workable solutions to all of their concerns. For example, the application includes a proposed marine terminal near Cacouna, Quebec. On December 8, 2014 the Committee on the Status of Endangered Wildlife in Canada recommended that the beluga whales be placed on the endangered species list. We made a decision in December to halt any further work at Cacouna as the terminal site is adjacent to a beluga whale habitat and we're currently analyzing that recommendation and assessing the impacts of the project and reviewing our options. We expect to conclude that analysis in the first quarter and we'll provide you an update at that time. That's the same approach that we'll take with all the issues that we encounter along this system. And just to remind you that the 1.1 million barrel a day project is underpinned by 1 million barrels a day of long-term contracts and is expected to be in service by the end of 2018. In November we completed a successful binding open season for the Upland Pipeline. The $600 million pipeline would provide crude oil transportation between multiple points in North Dakota and connect to other inter and intrastate pipelines. One of those interconnects will be the Energy East Pipeline System at Moosomin, Saskatchewan. As you are currently aware tens of thousands of barrels a day growing Canadian and U.S. Bakken crude are being railed to markets in Central and Eastern Canada. The volume that is contracted to connect the energy system is 70,000 barrels per day, the shippers that have committed to the contracts are on the Upland's pipeline system for delivery into Energy East, will have the flexibility to source their supply from a sea point in North Dakota, Saskatchewan and in Alberta. It may seem media reports today indicating that 300,000 barrels a day of Bakken crude would flow on the Upland's pipeline to Energy East that is not accurate. To reiterate, the contract volume to move on the Upland's pipeline to Energy East is 70,000 barrels per day representing about 6% of the 1.1 million barrels a day capacity on the energy system. And as I said that 70,000 barrels a day can be sourced in either Canada or the United States. I'd also remind you that 930,000 barrels per day of long-term shipping contracts have been executed for Energy East that are exclusively sourced in Alberta. Subject to regulatory approval, we anticipate the Upland project would be operational in 2018. Moving to Keystone XL, some important developments have occurred in recent weeks, I suspect you are aware of those. On January 16th, the Department of State reinitiated its National Interest Determination and requested the eight federal agencies involved in the review to complete and submit their comments on whether Keystone XL is in the national interest by February 2nd. On February or on Wednesday by a vote of 270 to 152 the House of Representatives passed a bill that approves the construction of the Keystone Pipeline. Previously that same legislation was passed by the Senate that bill now goes to the President for approval. We continue to see strong bipartisan support for Keystone XL both in the Senate and the House. The American people also continue to support the pipeline with ’30 tolls since 2011 showing two-thirds in favor of the project. The final environmental statement that was issued last year by the Department of State indicated the project would have a minimal impact on the environment, it would not increase GHG emissions, it would create jobs, it would have a positive impact on the economy and it would enhance both energy and national security. We continue to believe the Keystone Pipeline is very much in the national interest of United States and to be totally clear TransCanada and its shippers remain 100% committed to building the Keystone Pipeline and we continue to believe it will be ultimately approved. Moving over to the gas side of our business where we continue to experience growth on the NGTL System due to growing production in both Northwest Alberta and Northeast British Columbia and growing demand primarily by oil sands development and the demand for natural gas-fired electricity. This increased demand for NGTL service is expected to result in approximately 4 billion cubic feet a day of incremental firm receipt and firm delivery services. As a result and following NEB approval we expect to build over 500 kilometers of new pipeline system along with a number of compressor and meter stations. These facilities would be needed in 2016 and 2017 and would cost approximately $2.7 billion. Including these projects and the previously announced initiatives such as the North Montney project and the Merrick project we now have $6.7 billion of NGTL-related projects in development. On the Canadian Mainline in November we were very pleased the NEB approved the Mainline’s 2015 to 2030 tolls application. The application reflected components of the settlement between TransCanada and the Ontario and Quebec local distribution companies. Approval of the application provides a long-term commercial platform for both the Canadian Mainline and its shipper with known tolls for the 2015 to 2020 period, access to growing U.S. supplies and parameters for toll setting through to 2030. The application meets the needs of both our shippers and TransCanada providing us a reasonable opportunity to recover return and on capital for both existing and new facilities. Related to that settlement we have signed a 1.5 billion cubic feet a day of contracts in the Eastern Triangle to provide our Eastern customers with greater access to closer gas supply from the U.S. and the Dawn hub. The contract signed will require about $500 million of new facilities that we expect to put into service between November 2015 and November 2016. In addition, as part of our Energy East application last October we also filed an application for NEB approval to extend our mainline system in Southern Ontario to ensure sufficient capacity is available to meet customer needs in both Quebec and Ontario. The $1.5 billion Energy East -- Eastern Mainline project will add approximately 600 million cubic feet a day of capacity and will ensure sufficient capacity is in place to meet existing and new firm service requirements. Moving over to the West Coast and some updates on our LNG projects. We were pleased to receive our Environment Assessment Certificate for the Prince Rupert Gas Transmission project on November 25th of last year from the B.C. government. We also submitted several pipeline permit applications to B.C.’s Oil and Gas Commission for construction of the Prince Rupert Gas line. We anticipate receiving those permits early in 2015. In December, the ProGas, Petronas, company deferred a final investment decision on that project we continue to work with them and our contractors to refine our project cost in anticipation of a final investment decision sometime later this year. The deferral of the FID final investment decision for the Prince Rupert project will also mean a delay and in service for our pipeline. All of TransCanada’s costs are fully recoverable if that project doesn’t proceed. Our Coastal GasLink project also received its Environmental Assessment Certificate from the B.C. government in 2014. The project team also submitted applications to B.C. Oil and Gas Commission for its construction permits that process is proceeding and we expect to receive those permits in the first quarter of this year. We continue to expect the LNG Canada to make a final investment decision sometime in early 2016. Moving over to Mexico, the Tamazunchale extension became operational in mid-November. The $600 million pipeline has a 25 year natural gas transportation service contract with Mexico’s state owned power company. In addition permitting, engineering and construction activities continue on our two other Mexican pipelines both the $1 billion Topolobampo project and the $400 million Mazatlan projects are supported by similar 25 year contracts with CFE and are expected to be operational in mid to late 2016. In energy, we are very pleased to start construction last month of the 900 megawatt Napanee power facility. We expect to invest about $1 billion in the Napanee facility and the plant should be operational late in 2017 early 2018. That facility is fully contracted with Ontario’s Independent Electric System Operator. Also in Ontario we acquired our eighth solar facility in late December. This was part of the larger purchase agreement with Canadian Solar signed by TransCanada in 2011 bringing our total investments with Ontario Solar to about $450 million. All the solar facilities are fully contracted as well with under 20-year power purchase agreements with Ontario’s Independent Electric System Operator. In conclusion our diverse portfolio of energy infrastructure assets generated strong earnings and cash flow in 2014. Comparable earnings increased 8% to $1.7 billion and funds generated from operations were up 7% to $4.3 billion. Our capital growth program now sits at $46 billion as we captured a number of small to medium sized organic growth opportunities in 2014. Looking forward 2015 will be a challenging year for North America’s energy industry as companies adjust to lower oil and gas prices. Where we have some businesses with direct exposure to volatile commodity prices, the majority of TransCanada’s operating assets are well positioned to continue to perform through 2015 due to a high degree of contractual underpinning and rate regulated business models. Our focus for 2015 remains the same as it has been in the past, first it will be to maximize the value of our $59 billion blue chip portfolio of assets, move our $46 billion capital program from concept to cash flow, continue to cultivate new opportunities to invest our growing free cash flow, and maintain our financial flexibility and discipline to ensure we can continue to fund our growth in all market circumstances in all market conditions. This disciplined strategy has driven itself for the past 15 years driving growth in cash flow, earnings and dividends and enhancing shareholder value. That completes my prepared remarks and I’ll now turn the call over to Don to discuss our financial performance in more detail. Don?
Don Marchand: Thanks, Russ and good afternoon everyone. As highlighted in our news release this morning, net income in the fourth quarter was $458 million or $0.65 per share compared to $420 million or $0.59 per share for the same period in 2013. Excluding the $8 million after-tax gain from the sale of our South American pipeline assets and unrealized gains and losses from changes in various risk management activities; comparable earnings in the fourth quarter of $511 million or $0.72 per share increased $101 million or $0.14 per share compared to the same period last year. Driving this were new contributions from the Keystone Gulf Coast Extension and the Tamazunchale Extension in Mexico along with an increase in incentive earnings from the Canadian Mainline and higher realized prices at U.S. Power partially offset by higher interest expense. In terms of our business segment results at the EBITDA level, our Natural Gas Pipelines business generated comparable EBITDA of 884 million in the fourth quarter 2014 compared to 778 million for the same period last year. Canadian gas pipelines’ comparable EBITDA of $646 million increased 46 million compared to 2013 primarily due to higher incentive earnings on the Canadian Mainline partially offset by a higher OM&A cost on the NGTL System. Net income from the Canadian Mainline was $39 million higher compared to the same period last year. With the recent NEB approval of our 2015 to 2020 tolls application, $59 million of after-tax incentive earnings were recorded during the fourth quarter partially offset by carrying charges owed to shippers stemming from a positive toll stabilization account balance. NGTL’s net income decreased $13 million year-over-year to $59 million due to higher OM&A cost that were at risk under the terms of the 2013-2014 settlement partially offset by a higher investment base. In addition results in fourth quarter 2013 included the full year impact of the 2013-2014 NGTL settlement that was approved in that period. U.S. and international Natural Gas Pipelines’ comparable EBITDA of 249 million increased $57 million compared to fourth quarter 2013, primarily as a result of higher earnings from the recently completed Tamazunchale extension, increased transportation revenue on ANR and Great Lakes and the positive impact of a stronger U.S. dollar. In liquids the Keystone Pipeline System generated $294 million of comparable EBITDA in the fourth quarter. This represents a $94 million year-over-year increase and is the result of the Keystone Gulf Coast extension which was placed into service in January 2014 along with the favorable impact of a stronger U.S. dollar. Turning to Energy, comparable EBITDA was up $39 million to 385 million in the fourth quarter. Within Energy, Western Power comparable EBITDA increased 8 million due to higher purchase PPA volumes partially offset by lower realized power prices. 76% of Western Power volumes were hedged during the quarter which helped to offset soft Alberta spot market prices. Eastern Power EBITDA rose 20 million year-over-year due to higher contracted Bécancour earnings and the contribution from four solar facilities acquired in the second half of 2014. Bruce Power equity income of $115 million was consistent with results in 2013. U.S. Power comparable EBITDA increased 28 million in the fourth quarter compared to last year primary due to increased margins and sales volumes to wholesale customers, higher realized capacity prices in New York and the favorable impact of a stronger U.S. dollar. Natural gas storage comparable EBITDA decreased $15 million to 12 million in the fourth quarter due to lower realized storage spreads and decreased third-party sales volumes. Now turning to the other income statement items on Slide 23, comparable interest expense of $323 million in the fourth quarter increased to $83 million compared to the year ago period. This was primarily due to higher interest charges on recent U.S. debt issues, higher foreign exchange on interest denominated in U.S. dollars, carrying charges stemming from the positive Canadian Mainline TSA balance and lower capitalized interest partially offset by Canadian and U.S. debt maturities. In 2014, our exposure to U.S. dollar income was largely offset with U.S. dollar denominated interest expense and financial derivatives. The net impact of the strengthening U.S. dollar during the year was a small positive benefit to earnings of approximately $0.02 per share. Over the next 12 month period, currency movements are not expected to have a material impact on earnings given hedge programs in place that have a year forward focus. Beyond 2015 we could potentially benefit from any prolonged strength in the U.S. dollar on our structural long position resulting from our sizeable ownership in U.S.-based assets and their associated income streams, net of U.S. dollar denominated debt and interest expenses. In the fourth quarter $60 million interest was capitalized to assets under construction compared to 92 million for the same period in 2013. Lower capitalized interest due to the completion of the Gulf Coast Extension of the Keystone System was partially offset by higher capitalized interest for other liquids and LNG-related pipeline projects. Comparable interest income and other rose $30 million compared to the fourth quarter in 2013 primarily due to increase AFUDC related to our rate regulated projects including Energy East and our Mexican pipelines. Partially offsetting the increase in AFUDC were higher realized losses on derivatives used to manage our net exposure to foreign exchange rate fluctuations on U.S. dollar income and the impact of a strengthening U.S. dollar on translating foreign currency denominated working capital balances. Comparable income tax expense for fourth quarter 2014 increased $45 million versus the same period last year due to higher pre-tax earnings and changes in the proportion of income earned in higher tax jurisdictions. Net income attributable to non-controlling interests increased $5 million compared to the same period in 2013 primarily due to the sale of our remaining 30% interest in Bison to TC pipelines. This was partially offset by the redemption of the TCPL Series Y preferred shares in March 2014. Preferred share dividends of $25 million were 6 million higher in fourth quarter 2014 as a result of the $450 million Series 9 issue completed in January 2014. Now moving on to cash flow and investing activities on Slide 24, cash flow remains solid with funds generated from operations of approximately $1.2 million in the quarter and reaching a record 4.3 billion for the year. Capital spending totaled 1.5 billion in the fourth quarter driven principally by Mexican pipelines NGTL System expansions, Energy East and construction activities on the Houston Lateral and tank terminal. Equity investments of $61 million in the quarter reflected activities related to the Grand Rapids pipeline in Bruce Power. Finally under investing activities our eighth solar facility in Ontario was acquired at the end of December at a cost of $60 million. Now turning to Slide 25, our liquidity and access to capital markets remained strong. At December 31, our consolidated capital structure consisted of 38% common equity 5% preferred shares, 2% junior subordinated notes and 55% debt net of cash. We have $489 million of cash on-hand along with $5 billion of committed and undrawn revolving bank lines available with our high quality bank group. Our two commercial paper programs one in Canada and one in the U.S. remain well supported and continue to provide flexible and very attractive sources of short-term funds. In December the dividend rate on our Series 1 preferred shares was reset from 4.6% to 3.27% for the next five years. At that time holders elected to convert 12.5 million of our 22 million outstanding Series 1 shares into floating rate Series 2 shares which will pay a floating quarterly dividend for the same five year period at a rate of 90 day Canada T bills plus 192 basis points. The initial Series 2 rate setting was a 2.82% per annum. In January 2015 we issued US$750 million of three year senior notes in two tranches, US500 million of fixed rate notes will bear interest at 1.875% while US250 million of floating rate notes would bear interest at LIBOR plus 79 basis points with the initial rate setting at 1.045%. We also continue to advance our MLP dropdown strategy with the closing of the sale of our remaining interest in Bison in October for US215 million of cash proceeds and the announcement in November of an offer to sell our remaining 30% interest in GTM to TC PipeLines. The GTM sales is expected to close in late first quarter 2015. Finally we remain well positioned to finance our $12 billion of small-to-medium sized projects through various sources which include predictable and growing internally generated cash flow from our three core businesses. LP dropdowns and senior debt consistent with our A grade credit rating. In addition subordinated capital in the form of preferred shares and hybrid securities are also expected to form part of our financing strategy. Beyond these funding sources we continue to advance our $34 billion of large scale capital projects. We will consider selective use of project financing, reinstatement of our dividend reinvestment program from Treasury, additional portfolio management activities and the introduction of partners as alternatives to large scale common equity. Next I'd like to spend a moment on our 2015 outlook. More information is contained in our 2014 annual management’s discussion and analysis which was filed on SEDAR earlier today and available on our Web site. In Natural Gas Pipelines anticipated lower earnings in the Canadian Mainline as a result of its new 2015 to 2020 tolling framework is expected to be largely offset by growth in the NGTL System rate base and higher earnings and new long-term contracts on ANR. In liquids earnings in 2015 are not expected to be significantly different than 2014. However we will continue to seek ways to further optimize the system which could improve capacity and flows depending on market conditions. In energy, increased power supply in Alberta is putting pressure on power prices and is expected to negatively impact Western Power results in 2015. Eastern Power is forecast to benefit from the additional solar facilities acquired throughout 2014 and higher contracted earnings at Bécancour. Bruce Power equity income is expected to be lower primarily due to increased planned maintenance activity and higher operating costs. Bruce B will undergo a 30 day vacuum building outage that requires it to takedown all four of its units to perform this critical safety inspection. This is expected to occur during the second quarter and overall planned availability in 2015 is expected to be in the mid 80s range for both Bruce A and Bruce B. In U.S. Power earnings are expected to increase as a result of higher energy margins and production partially offset by lower New York capacity prices. Finally, lower seasonal spreads are expected to negatively impact results for natural gas storage in 2015 as compared to 2015. In terms of planned capital expenditures and equity investments, we currently expect to invest approximately $6 billion in 2015 primarily related to NGTL System expansions, the Canadian Mainline, Mexico pipelines, Energy East, regional Alberta liquids pipeline projects and the Napanee power project. In summary we expect to generate higher earnings in 2015 and continue to advance our portfolio of capital projects that will underpin significant growth over the course of the next several years. In closing, the Company produced a strong quarter and full year financial results, profitable earnings per share and funds generated from operations in 2014 were up 8% and 7% respectively compared to 2013. Earlier today we announced some 8% increase to the quarterly common share dividend. This was the 15th consecutive year of increases and is a testament to the diversity and stability of our business model. We made significant progress in 2014 by solidifying the market position of the Canadian Mainline with the approval of the 2015-2020 tolls application, fully re-contracting the Southeast main leg of the ANR for an average term of 23 years and placing $3.8 billion of new assets into service. In terms of our growth projects, we remain well positioned to finance both our $12 billion of small-to-medium sized projects that are commercially secured, as well as our $34 billion of longer term large scale projects that continue to progress through their respective regulatory processes. This blue chip portfolio of critical energy infrastructure projects is expected to generate significant growth and earnings cash flow and dividends for our shareholders over the remainder of the decade. That's the end of my prepared remarks. I'll now turn the call back over to David for the Q&A.
David Moneta: Thanks Don. Just a reminder before I turn it back over to the conference coordinator. We'll take questions from the financial community first and once we've completed that we'll then turn it over to the media. And with that I'll turn it back to the conference coordinator.
Operator: Thank you. We will now take questions from analysts. [Operator Instructions] Our first question is from Carl Kirst from BMO Capital Markets. Please go ahead.
Carl Kirst: And just to get may be for further clarification to the extent that if this goes forward we have another straw into another basin. Can you remind me as far as the full Energy East 1.1 million barrels a day? Is that considered fully pressured up or will in some point in the future that has expansion capability?
Paul Miller: Hi Carl it's Paul Miller here. The 1.1 million barrels per day on Energy East is the fully powered up capacity. We'll continue to look for opportunities to increase that once we are in operation but as of today the 1.1 is maxed out.
Carl Kirst: And second question if I could and I guess sort of sticking with Energy East but maybe going over to the Eastern Triangle. And I just wanted to get the updated thoughts on the Northern leg and some of the back and forth we've heard. And I guess this is clearly in front of the NEB and maybe perhaps my question can be summed up is do you see any risk for project delay with respect to some of the consternation we've seen about the Northern leg?
Russ Girling: I'll take a first cut at it and then maybe Karl has a view as well. But both the -- I think you're speaking with respect to the issue as to whether or not there'll be sufficient gas capacity available to meet the Eastern Canadian concerns. Both the Ontario government and the Quebec governments have engaged their respective regulators to basically inform them as to how they should respond to the National Energy Board process. One of the issues that obviously they well review is, is the gas transportation issue. The Resi’s completed its report and has submitted it to the government. I understand the OEB is still in the process, I think that what we're seeing is that the incremental gas supply needs or that the -- at least the Quebec regulator has indicated that the conversion of the capacity on energy to from gas service to oil service will provide a benefit to gas consumers. They've indicated that it would be beneficial if we solicited for additional gas needs and to understand gas needs better, we have recently completed that process, we're in a process of analyzing those open season requirements. But at the end of the day that’s all about we will be complete well in advance of the Energy’s filing and I wouldn't suspect that that would be a critical path item for us and will determine what the gas supply needs are and we will make sure that the capacity is in place for that and Karl if you have anything to add to that.
Karl Johannson: Not I don’t have much to add, we will take this to the NEB as Russ said the topic of capacity will be looked out by the NEB and we're quite comfortable we have enough capacity for existing in future needs on the system.
Paul Miller: And so just to be perfectly clear, the peak day load for Eastern Canada off our system over the last four years has been just slightly greater than 1.7 billion cubic feet a day the Triangle currently has the capacity of 3.2 billion cubic feet a day with the adjustments that we're planning on making to it, it will bring that capacity down to 2.6 billion cubic feet a day. So there is ample capacity available to meet that 1.8 billion cubic feet a day of need under almost any scenario. So, we don’t see there being an issue with gas supply in Canada.
Operator: Thank you. The next question is from Paul Lechem from CIBC. Please go ahead.
Paul Lechem: Just a first quick question to Don maybe in the earnings outlook slide that you have with the arrows going up and down and flat for Keystone. Is that in Canadian dollar, U.S. dollars, what are we looking at there?
Don Marchand: They are in Canadian dollars.
Paul Lechem: So you’re expecting Keystone to be flat in Canadian dollars even with the exchange rates moving -- Canadian dollar moving low late in 2014, so I mean potentially does that suggest it goes lower in U.S. dollars for Keystone in 2015?
Don Marchand: We’re just checking up Paul. So Paul it’s flat to slightly up on a Canadian dollar basis.
Paul Lechem: And then just maybe a question on the given where commodity prices are have you seen any shippers pulling out of any of these pipelines I think the proposed pipelines the Energy East, Keystone XL and any of the, ones you have underway in Alberta, Northern Korea, Grand Rapids has there been any impact from the move down in oil prices in any of these projects?
Paul Miller: Hi Paul it’s Paul Miller here. We haven’t had any impact from the decline in the commodity price the shippers who have signed up for these pipes are still fully behind us we anticipate we’ll see some slowing in some of the growth here in Western Canada, but today all the shippers remain fully committed to all of the projects.
Paul Lechem: And is there any, contractually any ability for them to delay or move out their commitments under current scenarios?
Paul Miller: No, there isn’t.
Operator: Thank you. The next question is from Andrew Kuske from Credit Suisse. Please go ahead.
Andrew Kuske: I guess the question really relates to the financials and just your outlook for financing and I know you mentioned a little bit of your financing expectations and really the spreads you can issue on. Is now the opportunity to just to try to go and term out some debt on a longer term basis and if you were to do so and in particular on unregulated assets what kind of spreads or levels do you think you can hit?
Russ Girling: Yes these are pretty compelling levels we would agree on that. And we do have a need on the regulated side of the business for some debt funding this year and particularly with the growth on NGTL. 30 year mining in Canada is probably in the four area pre-tax so that’s a kind of levels we’d be looking at and in that on NGTL I would be pass through the tolls. In terms of a broader financing program spent around 6 billion this year internally generated cash of around 3 which leaves us with the funding need of probably in the 5 billion area including maturities we’ll be across the term spectrum on that you saw us do some three year notes earlier so we’ll be across the term spectrum in both currencies there. But again across the entire yield curve and across all products we view these levels as compelling.
Andrew Kuske: And maybe just for a bit more clarity where do you think you could issue 10 year paper on say unregulated assets or even regulated assets for that matter?
Russ Girling: On regulated assets 10 year paper in Canada would be probably in the three area.
Andrew Kuske: Okay, and that’s…
Russ Girling: And in the U.S. probably around a 360 plus minus area today…
Andrew Kuske: And then just how do you think this plays into the overall valuation of your stock and just the return expectations because obviously under the old regulated formulae that still exists under certain assets we’re really disconnected from the formulae at this point in time? And just how do you think about your stock valuation also whether just rates are so low?
Russ Girling: Well obviously there is a very high correlation to our yield to where bond yields are at so it’s certainly a tailwind to the share price here. If your choice is investing in a stock that’s paying a mid 3s after-tax dividend or putting your money into government bonds taxable at a rate lower than that it’s from an investment proposition standpoint it’s a good new story we think we have to sell to investors there. And if we continue to grow that dividend as we’ve indicated at Investor Day and since over the next several years you are driven by the small-to-medium sized projects first and foremost. And then if we get some of these big projects over the finish line it’s another factor here that I think is on investors’ minds.
Operator: Thank you. The next question is from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan: Just looking at the Mainline as you head into 2015 with the settlements I know look we’re only six weeks into the year. But just wondering do you have any comments as to how you performed so far with the discretionary and directionally when you just look at the settlement versus how you made the money in 2014, how are these tools impacted by the settlement agreement thinking about things like summer storage service, just as we think about year-over-year your ability to churn the incentives over to 10.1?
Karl Johannson: Hi, Robert, it’s Karl, and maybe I will start with just talking about the revenue generation incentives that we get. We do actually have a 8 filing still to do, a compliance filing at the end of March to update all of your numbers. So that will be coming at the end of first quarter but just generally speaking the winter this year has not been as cold as last year, so I wouldn’t expect as much incentive earnings as we earned last year. I think we earned last year about $0.08 incentive earnings kind of five net of kind of the carrying cost of the surplus cash we generated last year. So we’re certainly not going to make that the winter just hasn’t materialized the same, but we are on-track with good FT contracts this year and then we do expect to make our revenue requirement with the FT contracts, which will make up above 90% of our revenue requirement, so I think it’s a good start to the year, but it’s certainly nothing compared to last year with a very-very cold winter we had. Does that answer your question? I think the second part of your question was -- and maybe you can remind me what the second part of your question was.
Robert Kwan: Just if any structural differences with the settlement that may make it just directionally more difficult for you to earn incentives?
Karl Johannson: Well I think the incentives that we structured I must say that we are capped now we have a collar basically so we can’t go lower, so if under collect we can’t go lower than 8.7% return on equity, and if we over collect we can’t go higher than 11.5%, so it’s structurally a little different. I think last year we were much over 11.5% because of the incentives that we gathered. But strictly speaking we still have the same tools we still got the pricing discretion tools that we have. We still have the products that we can use both the firm products and the interruptible products. So I don’t see a lot of difference in the tools that we can use to earn incentives. This year it is a bit seasonally depended and it will change a little bit as we move into the future and people start converting from long haul to short haul, so that’s probably the main impact on it because once you get short haul you just have a several lower tolling probably some lesser amount earn incentives on a base toll that is lower, but with all the tools that we have I don’t see any difference this year over last year.
Robert Kwan: Just my other question is for Ocean State with the capacity auction for 2018-2019 in New England and Ocean State being in that Rhode Island pocket just wondering have you looked at expansion opportunities either on the site or near the site that you might be able to take advantage of into the future?
Bill Taylor: Yes, Robert it’s Bill Taylor here. Obviously we’re quite pleased with that result. We actually did anticipate improvement in the Rhode Island zone and that was proven out in the results of the auction that you mentioned so we’re continuingly looking at opportunities there and we do have some initiatives to look at what opportunity there may be on the site, it’s a limited -- there is not a lot of geography that isn’t used up at the site so we have limited ability to do something there, but it may also be a repowering opportunity as well.
Operator: The next question is from Matthew Akman from Scotiabank. Please go ahead.
Matthew Akman: On Western Power, is there anything you can say about your hedging over the next couple of years?
Bill Taylor: It’s Bill again. We don’t provide any forward indication for competitive reasons on kind of what our hedging approach is, as you could see from the results in the quarter, we were positioned fairly well and given the low price environment that occurred over the last quarter through that period and we will continue going forward to try to opportunistically take advantage of opportunities in the market to improve our results.
Matthew Akman: Staying with Power Bécancour, can you make any comments on the -- kind of the contract structure, there is obviously a bump up that’s occurred, is that sort of permanent till the end of contract now?
Bill Taylor: Well, the contract at Bécancour has not been revised. We did make some adjustments to the transportation contracts that were originally in place. The natural gas transportation contracts that were originally in place for Bécancour and so part of the impact you’re seeing is the result of those adjustments that we were made in respect of that gas transportation and that you can expect it we would see that continued effect to occur in 2015.
Matthew Akman: And anything you can say beyond 2015, do you expect that to be ongoing?
Bill Taylor: It may depend on the expiry of those transportation agreements and what we intend to with that going forward so it's kind of speculative at this point.
Matthew Akman: Last question the just sticking with Power on Ravenswood there was an unplanned outage in 4Q is that going to be a material thing to capacity over the next couple of years or was it pretty short?
Bill Taylor: The station is still unit 30 I should say is still being repaired at Ravenswood work on that is going well there will be some impact that will come in primarily in 2016 and a little bit into 17 that will result from have that average occur.
Operator: Thank you. Our next question is from Linda Ezergailis from TD Securities. Please go ahead.
Linda Ezergailis: In your MD&A you mentioned that there is a possibility to implement some operational efficiency at Keystone to improve capacity inflows. And it sounds like there is a possibility to do that even with Energy East down the road. Can you talk about what that might be and how much capacity you might unlock is that drag using agent or something else patching or?
Paul Miller: Hi Linda it’s Paul Miller here. That’s exactly what it is on Keystone we've increased our flows probably by about 20,000 barrels per day so far by the use of drag reducing agents as well as other efficiencies that we've found in the pipeline. So we'll continue explore those on Keystone and once in operational all our pipes will explore these opportunities. So Energy East included bit with Energy East today we believe the capacity is around 1.1 million barrels per day. But we've always looking for ways to improve the reliability and the efficiency of our operations.
Linda Ezergailis: And just a follow-up question with respect to the landowner loss for Nebraska, can you walk us through how long that will take to resolve and what the book ends of the outcome will be I'm not a legal expert but I'm wondering what also the basis is and in terms of constitution no consideration?
Alex Pourbaix: So Linda it’s Alex. So we have that decision come out of the Nebraska’s Supreme Court a little while ago and basically what happened was three of the four judges found that the plaintiffs did not have standing. So given that you require a super majority to find that a law is unconstitutional the existing Nebraska legislation and the process we went through to determine the route in Nebraska was therefore valid. One of the outcomes of that though was because the decision was made basically on this lack of standing it let the opportunity open for landowners withstanding to make a claim. So that process has occurred and we have a couple of lawsuits that are seeking to determine the constitutionality of the route. I think you're going to see the same -- it should be the same process there will be trial because the only issue at stake is this issue of constitutionality it should be able to be concluded very quickly and if it is found to be constitutional by that same super majority that is the end of the case and our route is constitutional if it is on the other hand found by the trial that it is unconstitutional then there would obviously be an appeal to the Nebraska’s Supreme Court in the same manner as the previous round of cases. Once again I think the good news about this is there is only issue at stake it's the constitutionality and I think we can probably get through the two cases sometime give or take in about a year or so. The other point that I would say is in Nebraska right now we already have 90% of those easements have been signed voluntarily and in the other states along the route we have 100% of the easement signed voluntarily. So we really are talking about a very-very small number of landowners that we haven’t resolved things amicably with.
Operator: Thank you. The next question is from Rob Hope from Macquarie. Please go ahead.
Rob Hope: Maybe just shifting a little bit North to South Dakota just wondering about the formal hearing regard the re-certification of the permit how long do you think that could potentially take?
Alex Pourbaix: I'm trying to remember the exact time.
Paul Miller: I believe that our thoughts is that we would be through that process sometime and I think the hearing is in June and that we would see decision sometime around December if I recall.
Bill Taylor: Yes I believe it's set for May
Paul Miller: So, just a bit little bit earlier than what Russ highlighted.
Rob Hope: Well I am sorry and when would you expect that resolution?
Paul Miller: Yes I think Q3 sometime.
Bill Taylor: Some time in Q3, we don’t have an exact date but that would be our speculation.
Rob Hope: Maybe just one follow-up question broadly speaking with the commodity price environment and your access to capital are you taking a harder look at acquisitions either for individual assets or potentially larger packages?
Bill Taylor: No question, we've been through these cycles before as a company and there is several assets out there in the marketplace that we covered but obviously in certain market cycles they're not available to us and so we'll remain attentive to that, I think if you look back in our history when we have seen market downturns like this we have acted, so we bought a GTN in that kind of a environment we bought the Northeast Hydro asserts in that kind of environment. And so several assets that we've acted on, and I do believe that that is a possibility if we see a sustained downturn in commodity prices there could be really good assets that are freed up and we have the financial capacity to actually act on that currently. So that is one of the reasons why we try to maintain a strong balance sheet and financial flexibility to do those things. And if we see some of our capital programs being pushed out like Keystone XL and that sort of thing again it gives us more capacity to be able to do those kinds of things in the short run.
Operator: Thank you. The next question is from Steven Paget from FirstEnergy. Please go ahead.
Steven Paget: When you consider your U.S. gas pipelines and contracts are all these pipelines now ready for at least potential dropdown in the TC pipes?
Karl Johannson: Ys Steven it’s Karl. Yes I think that we said years ago, I think on ANR we want to do a little bit of work selling and we have actually sold a route now. So I think all the assets are what I would call dropdown ready. I'll defer this further comment on this to Don but we're in a process right now kind of dropping down one at a time. And we've made a commitment to keep that process up. So I would say there is nothing inhabiting us from moving these assets into the LP at the proper timing.
Don Marchand: And I will just echo comments made at Investor Day where we're on the conveyer belt approach here the intent is to put out cash from these assets but well maintain the control of them and being cognizant of the capacity limitations at the LP to absorb these assets. So we think the LP has capacity of a $1 billion dollar plus per annum, we've got buyers in our GTN is set to close here in this quarter and then we'll continue to move forward with the rest of them. So there has been no change to the strategy we outlined back in November.
Steven Paget: This question I guess would be for Bill or Alex. Can I ask what the internal timeline might be for securing the future of Bruce Power units 3 for 8 as far as the media reports at the unit for refurbishment process will begin in the summer of 2016?
Bill Taylor: Sure, I can try and give you a brief update on that. The discussions are being led by Bruce Power and there is still actively in those discussions with the ISO and representatives from the government of Ontario. So there is not really any detail I can provide on that at the moment other than to say that the discussions are still ongoing. As for the timing I would say it's really premature to try to focus on any single timeframe at the moment given the status of those discussions.
Operator: Thank you. The next question is from Carl Kirst from BMO Capital Markets. Please go ahead.
Carl Kirst: I was just curious Russ on XL, you guys obviously responded to the EPA letter. I haven't seen anything in the public record with respect to the state department but have any of the other agencies waved in Homeland Security on Energy Security et cetera that you guys are aware of?
Russ Girling: I believe that the state department said that all of the agencies have commented, we don't know what's in those comments but my understanding is they have commented and at least to this point in time the state department has said that those are internal documents and they're not making them public.
Carl Kirst: And then two micro questions if I could just one Don, can you actually say how much right now of 2016 net currency exposure is floating versus a hedged, near 80% hedged or something less than that?
Don Marchand: Sure let me just give you some color on the currency. I guess my earlier question I should have clarified that the when I talked about Keystone being flat to slightly up on a Canadian dollar basis. I had a more modest exchange rates factored into that than the current spot levels we’re seeing today. So for 2015 we're largely hedged, there might be a couple of pennies pick up in there but it's not material. Looking out into 2016 and onwards our run rate is about 600 million after-tax U.S. dollar income that is exposed that is after natural hedges in the form of U.S. dollar debt so that’s before financial terms but after U.S. dollar debt. So for every $0.10 move you get year-over-year you’re looking at something in the order of $60 million of after-tax income that would fall to the bottom-line.
Carl Kirst: Don sorry that would be on an unhedged basis then so you’re indicating that we don’t have any hedges laid on for 2016?
Don Marchand: Not beyond U.S. dollar debt and interest associated with it, so that would be it’s about 150 million a quarter run rate going forward 2016 onward of exposed currency from the P&L’s perspective.
Carl Kirst: Understood, I very much appreciate that. And then last question if I could just a very small one Bruce Power and you guys may have already said this so I apologize. But Bruce Power this quarter I think it was Bruce A there was an out of period generation adjustment can I get the size of that?
Don Marchand: That would have period generation adjustment?
Carl Kirst: There was a quote deem generation adjustment of a prior period. I’ll follow it offline.
Don Marchand: Yes, we’ll give it a quick look Carl but we’d be happy to follow-up offline if it’s -- when they have it.
Russ Girling: Yes Carl it was just an adjustment for there was a substation outage that was the classified or qualified deem generation in the third quarter and it was trued up in the fourth quarter our share of that was forward pay through…
Operator: Thank you. Our next question is from Andy Gupta from HITE Hedge. Please go ahead. Mr. Gupta your line is open please proceed.
Andy Gupta: Just a quick follow-up on your comment about there being capacity at GCP, it seems with the share price that’s come off since last November do you still think GCP has got the capacity to absorb $300 million of dropdowns?
Russ Girling: Yes, we do. The share price is still fairly robust I think it’s high 60s.
Andy Gupta: Yes.
Russ Girling: Yes and as well at current debt levels that forms part of the equation of GCP as well in sustaining these assets to that levels that funding levels are more attractive they were back then.
Andy Gupta: And from what I understand from the Investor Day as well is that these drops which was certainly about $5 billion of proceeds to TRP it is really to fund your near-term projects like Energy East, the Keystone XL that’s not being funded by this, this is more the near-term $12 billion to $13 billion of projects?
Russ Girling: Yes, we’re not quoting any specific drop to any specific CapEx project but collectively the $12 million of high visibility small-to-medium sized projects we feel quite comfortable that there is a logical home for 5 billionish dollars of proceeds from these dropdowns for that portfolio.
Operator: Thank you. We will now take questions from the media. [Operator Instructions] We have a question from Julian Arsenault from The Press Canadian. Please go ahead.
Julian Arsenault: Regarding Energy East that it seems less and less likely that there will be marine terminal in Cacouna. Why wait until the end of the quarter to confirm the news?
Alex Pourbaix: It’s Alex Pourbaix, as Russ said in his comments we expect to announce that in Q1 it doesn’t mean that we’re going to wait to the end of Q1 but there really is a lot that goes into the discussion and the analysis of this. But we expect to make a decision fairly quickly on that.
Julian Arsenault: Is it possible to realize Energy East without the marine terminal in the province of Quebec because I mean there is a lot of positioning and some other town that has been mentioned to be a potential site this seems open to get one?
Alex Pourbaix: Sure I mean I think the number one priority for the project is that we ensure that we are connected to the refineries in Quebec and I think under any option we’d be looking at that that would obviously continue assuming that that was the case there are any number of configurations or options that could be anywhere from locating another terminal in Quebec to having one terminal in New Brunswick. So that’s actually the process we’re going through right now to find out what are the best of the options.
Julian Arsenault: But you’re confident that you will have a marine terminal in Quebec?
Alex Pourbaix: What I am saying is I am absolutely confident that we’re going to be connected to the Quebec refineries and we’re doing that analysis of where or if we have a terminal in Quebec and that work isn’t completed at this point.
Paul Miller: And it’s a triangulation of commercial interest and environmental interest and job creation in those kinds of interest and within there we’ll try to optimize the answer to maximize the benefits of that to minimize an environmental pack and do it in a way that’s economic for our shippers that’s the makings of a good project and a win-win-win for everybody. That’s a complex analysis with lots of stakeholders involved and that’s why it’s taking us the time to get through this process.
Julian Arsenault: And maybe just clarify, there is a lot of news reports here saying that you have already quit on the Cacouna project maybe just finish on your spend on this?
Paul Miller: I think what we said at the time that we put all the work on the hold remains true and that was we take the concern over the beluga whale in the St. Lawrence very-very seriously that is why when that recommendation came from that Federal Commission then we immediately put all work on hold and whatever resolution we come to we’re going to make sure that it’s a resolution in our minds will absolutely protect that population of whales and beyond that we’re just once again doing that analysis to see sort of what options look the best.
Operator: Thank you. Our next question is from Ben Dummett from the Wall Street Journal. Please go ahead.
Ben Dummett: Could you just elaborate on the reasons behind doing the Upland pipeline, I mean, you really should reference the fact that there is all this Bakken oil that’s been moved by rail, but is it just a matter of trying to win share of that business?
Paul Miller: Hi, Ben, it’s Paul Miller here. I think start off with our business model is -- we’re business responsive and where we’re acting two desires in part for market access and then desire by the producers to get some of their product off the rail, and so in response to that desire and to off of that market access, we went to an open season to gauge what sort of interest was there, we were able to secure enough contracted volume to move forward with the project and provide that access for those Williston Basin producers. We will -- as Russ indicted in his prepared remarks we have contracted 70,000 barrels a day that will move on the plant and connect to Energy East and we will also provide transportation services within the Williston Basin from various gathering systems from various feeder pipelines to connect with other pipelines beyond Energy East to take barrels out of the Williston Basin. And we will continue to provide the transportation for the Bakken producer once we move forward with Keystone XL we’ve set aside 100,000 barrels a day for the North Dakota producer and Montana producer on Energy East as well on Keystone XL as well. So it’s a combination of market demand and where those barrels want to go to and it’s an opportunity that we looked at and responded.
Alex Pourbaix: And just at the macro-level there is no question that the production is up in North America across the border, Kenya production is up since we made our application on Keystone by about a 1 million barrels a day and U.S. production is up by about 2 million barrels a day. All of that production is moving on rail today and it wants to get off rail as quickly as possible and so those producers are talking to TransCanada and other service operators, pipeline service operators, to look for alternatives and to move it off the rails onto a less extensive more efficient safer system, and so I think you will see more of this down the road where people will try to find innovative solutions to move that at volume off the rail and this is a actually a visible volume that has been moving for several months from the Bakken by rail though Canada right to refineries in Quebec and in New Brunswick and this is a safe solution to optimizing that movement.
Ben Dummett: And then how long is the stay Upland pipeline? How many miles, how long would it be like…?
Alex Pourbaix: The Upland pipeline itself I believe it is about 300 kilometers or about just under 200 miles, I can validate that for you if you like.
Ben Dummett: That would be good if you could just did that analysis and just one last thing you’re going to need a State Department approval for this, I mean given this difficulties that you have had with Keystone, I mean, there is a little irony here, I mean do you expect the same kind of difficulties?
Russ Girling: I really can’t tell you that this has been an extraordinarily process, and our historic experience is of gaining approvals across the border has taken 24 months, other pipelines that have exactly the same characteristics have taken 24 months. This particular one has taken 6.5 years. I hope that’s an anomaly in Canada U.S. trade of energy and that isn’t the situation going forward, but obviously the market isn’t waiting for regulators to catch up with their decisions they are moving the oil now, so my view is eventually that oil has to move and eventually we will obtain the permits while that will be a Keystone XL permit or the permit for a pipeline like Upland’s and these are necessary pieces of infrastructure that are required to efficiently move volumes that are being produced today between production locations and market it is used, it is a necessity that has to be done and has to be done safely but these things have to get completed.
Ben Dummett: That’s Russ that spoke there right?
Russ Girling: Right.
Paul Miller: And Ben it's Paul Miller again I misspoke earlier. Upland pipeline it is 460 kilometers or 285 miles.
Operator: Thank you. Our next question is from Jennifer Dlouhy from Houston Chronicle. Please go ahead.
Jennifer Dlouhy: Thanks for taking my question. Most of which has been asked. But with regards to Upland could you talk about the potential border crossing where that would be located if that’s been determined at this point?
Paul Miller: Hi Jennifer it’s Paul miller here it hasn’t been determined definitively but it will be between Saskatchewan and North Dakota if you look at a place called Moosomin Saskatchewan go straight Southeast it’s a point just East of the Manitoba, Saskatchewan border so beyond the probably Central North Dakota and Eastern Saskatchewan is the best I can provide. But straight South Moosomin, Saskatchewan is a best guess right now.
Operator: Thank you. The next question is from Iris Kuo from Argus Media. Please go ahead.
Iris Kuo: In the past you've talked about building a rail bridge in lieu of or in addition to Keystone XL. Just wondering where you are with that project right now?
Paul Miller: Hi Iris it’s Paul miller here, we continue to explore rail as a transportation solution for the producer shipping a product from Keystone XL not necessarily a Keystone XL bridge. But a reflection of the producers having to get to the market until pipeline is developed. And as we said previously we do believe rail will be a permanent part of the producers’ transportation solution, impart to access niche markets and impart to manage around kind of the lumpiness if you wish of pipeline implementation. So we continue to work with a number of perspective shippers in this regard it's something that they want to move forward with it's something that we’re working together with to bring to fruition here it just takes times because these are major decisions for a lot of these producers and it's a type of transportation that they haven’t used traditionally. So it's just a bit of a learning curve as well so it has taken some time a little longer than we thought and had hoped but it's something we are still pursuing.
Iris Kuo: Do you have a timeline for when you might make a decision or is it just ongoing?
Paul Miller: It's pretty much ongoing once we typically disclose a project once we have it locked down with all the commercial support. So we'll continue to pursue the commercial support and make the appropriate announcement at the time.
Iris Kuo: And have the current low oil prices impacted at all the shipper interest in the rail project?
Paul Miller: Not really the ultimately the net backs are going to determine rail usage and we have seen some softening of rail transportation rates not as much as I would have anticipated. But I think it becomes almost self fulfilling as we see increased production you see bigger differentials and lower net backs so if you can't access efficient transportation. So it drives people to pursuing well and the producers are taking a long-term respective there, there is nothing worse than having traffic reductions. So they're making long-term commitments on resource typically out of Canada here that has 100 year life and so they want to ensure that they have the access to the market that they need to realize on the investment in this upstream. So we haven’t really seen any softening in the motivation.
Iris Kuo: And finally could you give us some sense of what flows are right now on the Gulf Coast Pipeline?
Paul Miller: Yes the Gulf Coast flows about above 400,000 barrels per day, and probably just under 400,000 barrels per day.
Operator: Thank you. We have no further questions at this time. I would like to return the meeting back to Mr. Moneta.
David Moneta: Thanks very much and thanks to all of you for participating this afternoon. We very much appreciate your interest late on a Friday afternoon before a long weekend for many. So thanks again and we look forward to speaking to you soon. Bye for now.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank all who participated.